Operator: Good afternoon and thank you for joining us today to discuss OptimizeRx’s Third Quarter Ended September 30, 2017. With us today are the Company’s Chief Executive Officer, William Febbo; and Chief Financial Officer, Doug Baker; and its President, Miriam Paramore. Following the remarks, we will open the call to your questions. Then before we conclude today’s call, I will provide the necessary cautions regarding forward-looking statements made by management. I would also like to remind everyone that today’s call will be recorded and will be made available for a telephone replay via instructions in today’s press release in the Investors section of the Company’s website. Now, with that, I’d like to turn the call over to the Chief Executive Officer of OptimizeRx, Mr. William Febbo. Please go ahead, sir.
William Febbo: Thank you very much and good afternoon everyone. Thanks for joining us on the call today. During the third quarter, we made a lot of progress financially and operationally. I am glad to as we continue to build upon the foundation we’ve been talking about over the last several quarters. I’m happy to report net revenue was up 74% to a record 3.1 million. The increase was driven by growth in our core solutions of financial messaging or eCoupon product as well as our new brand messaging launched in Q1 of this year. We also added channel partners and we continued to invest our team to scale the business and expand our digital health platform. This platform integrates leading electronic health record systems or EHR as you’ll hear me say many times and within the e-prescription workflow then physicians are physically with their patients we call that point of care. Just to give you some additional perspective before we get into the numbers with Doug, I’d like to talk a little bit about why our platform is show valuable to our clients, the pharma manufacturers, patients, and why our opportunity in this market is so large and grow. The healthcare market has been undergoing in many change. It is becoming increasingly difficult for pharmaceutical representative, the sales people, to get final positions they need to reach. Over 50% of hospitals now don’t even let them in the door. Physicians are also spending more than five hours a day accessing patients EHR’s those are the electronic health records. In 2016 alone where the 2 billion e-prescriptions were transmitted from doctors to pharmacy, which reflects that now about 85% of the nation physicians are using e-prescription as their preferred way to prescribe. This adoption has accelerated over the last few years, which is why it's important to recognize that our technology, our solution and platform now reaches a very large segment of this market. One key driver is actually something we've all been hearing about much lately that’s the opioid crisis. New York was the first state to mandate ePrescribing as a main demo [indiscernible] abuse. Now, we are seeing this set across the country in different states. Our solutions have tremendous potential, which is being realized more and more as we expand our client base and channel reach, and integrate further within and outside the prescription workflow. Based on indications from clients and agencies and partners, we estimate the total available market to be well over a 1 billion in other words we have a lot of room to grow. Now before we delve into the operational details for quarter and outlook for the year, I’d like to turn the call over to our CFO, Doug Baker, who will walk us through the financial details for the quarter. Doug?
Doug Baker: Thanks Will and good afternoon everyone. Earlier today, we issued a press release with the results for our third quarter ended September 30, 2017. A copy of the release is available on the Investor Relations section of our website. As Will mentioned, our net revenue in the third quarter of 2017 totaled 3.1 million, up 74%, compared to 1.8 million in the same year ago quarter. The increase was primarily attributable to growth of our two core products, financial and brand messaging, along with broader distribution through our new channel partners. The launch of new pharma brands which now total over a 100 between financial and brand messaging also contributed to the increase. Our gross margin in the third quarter was 45.1%, which compares to 59.5% in the same year ago quarter. The decrease was primarily due to the launch and expansion of our brand messaging products, which had overall lower margins in our core financial messaging products. However on a sequential quarterly basis, gross margin improved from 44% last quarter, which was in line with our expectations and we communicated in our last call. This indicates, we are advancing towards our goal of 50% gross margins or better. Moving down the income statement, our operating expenses in the third quarter were 2 million, which was up from 1.3 million in the same a year ago quarter. The increase was primarily due to additional expenses related to our growth initiatives including from the Company’s executive and sales team. Our operating expense as a percentage of revenue decreased to 65.4% versus 73.5% in the year ago quarter. As we grow, we expect operating expense as a percentage of revenue to continue to decrease. Our net loss for the third quarter of 2017 totaled 623,000 or $0.02 per share as compared to a net loss of 243,000 or $0.01 per share in the third quarter of 2016. This results from a leveling of our growth spend, increased revenue and to shift in our product mix. Our EBITDA for the third quarter of 2017 was a loss of 490,000, as compared to a loss of 190,000 in the third quarter of 2016 for the same reasons. Turning to the balance sheet, cash and cash equivalents totaled 5 million at September 30th as compared to 5.8 million at June 30th and 7 million at December 31, 2016. In addition to the cash used by operations, our cash balance was lowered by the separation agreement with the Company’s previous yield. During the nine months ended September 30, 2017, we paid 390,000 redeem stock and 105,000 in consulting fees. There are no remaining payments due under the separation agreement. We also used 867,000 of cash investing in our network and technology to further facilitate our revenue growth. We continue to operate debt free and are currently not seeking any additional capital. That covers the highlights from our financial report. Now, I’d like to turn the call back over to Will for further discussion of our operating and strategic initiatives. Will?
William Febbo: Thanks, Doug, appreciate that. Once again top line in Q3 was driven by growth in our financial and brand messaging solutions as well as expansion in the network reaching more physicians. We add as you saw on the press release, we added iSalus Healthcare to our EHR network, which just continues to build the largest of its kind network with access to more than 370 EHRs nationwide. Just to remind the audience, there are about 500 plus in the market. In addition to further growth on the core positions, we also added new pharmaceutical manufacturers and their respective brands. We added three of the top 20 manufacturers in Q3 alone. We also reported additional compelling return on investment data for our clients on current brands. To remind listeners, the ROI data helps us encourage the adoptions of this cloud-based EHR channel for our client and we're seeing an average return on investment of five to one on their money. On-boarding new clients and channel partners allow to increase our number of brands by about 10% during the quarter and our channel are reaching to physicians by about 20% year-to-date. This equates to over a 100 brands and about a third of the physician community. And let's talk about our team and our partners and our technology, since the first quarter of '16, we've been building out the team and we needed to scale the business to support further clients and brand growth and I believe we now have that team to truly scale. To support this growth, we added business development products operations team members as well as appointed Miriam Paramore, who will hear from later, an accomplished health IT industry veteran as our new President. I've complete confidence in Miriam as she oversees our technology platform, products suite, channel expansion and frankly overall growth. Miriam brings considerable depth with many of our EHR partners as well as others we're looking at to bring on, given our expanding customer base of top pharmaceutical company as well as major channel partners like Allscripts and Practice Fusion. Miriam's experience of scaling health technology companies brings timely and complementary strength to our OptimizeRx team. Meanwhile our sales and marketing team continues to leverage the ROI data on increase script lift which demonstrated in a controlled group how we're able to lift first fill rates or sales of prescription drugs. We expect these results to continue to help us to increase adoption within the pharma manufacturers and our clients. These investments in our executive and sales team have begun to produce returns as you're seeing an accelerating growth from the past. We're seeing a broader client base and now we're really seeing good scale potential. In fact as Doug mentioned in his remarks, I'm pleased to see our operating expenses as a percentage of revenue decreased remarkably during the quarter. We see this decrease really to demonstrate the leverage of our operating model in that it supports greater market reach and revenue growth without the need to incrementally increase operating costs going forward. So, as we grow we expect operating expense as a percentage of revenue to continue to decrease. Our success in acquiring, integrating and expanding into new promotional EHR and e-prescription platforms has continued to strengthen. As a result, we have more master service agreements now than ever before and the pipeline is robust and the integration team, just say they're busy. Subsequent to the quarter we added Aprima Medical Software, and we are actively engaged in discussions with several additional EHRs who want to join our platform. We are also working extensively with our existing EHR and e-prescription partners to expand the reach of our financial messaging in additional health care providers, as well as looking to build new solutions that leverage our core clients. EHR adoption is now ubiquitous, e-prescription adoption is about 80% and point-of-care access is proving highly valuable to pharma. In fact 90% of U.S. physicians are now using EHRs on a daily basis, and as I mentioned, our ROI pharma sponsored events are incredibly high with an average of five to one. All of this is conducive to growth of our unique marketing channel between pharma companies and physicians. We also believe we only have just begun to scratch the surface and our market potential as I mentioned earlier is terrific. I would also like to note that during the quarter we are invited to multiple events of leading healthcare technology conference nearly focused. Miriam spoke at distributed health conference, which was a leading event focused on block-chain and healthcare and we’ll talk about others later. Turning to the agencies we’ve talk about that we all know about our partner WPP, but we continue to work closely with all the major healthcare centric companies and the digital media spend companies within the EHR continues to be the fastest growing digital spend sector according to the experts. This is a critical piece to the adoption rate of EHR channel as the active advisors to our clients. And I’m glad to say we work with most of top troche. On our last conference call, we said thereafter record gathering RFPs or request for proposals. The RFPs starts in September and the RFP gathered all support continue to grow in 2018, let me be clear on that, it’s been a really good season of RFP growth. And we expect to see multiple million plus clients developing through 2018 without over concentration in anyone prior. Moving on to brand messaging, our brand messaging product launched in the beginning of the year. We’ve talk a lot about it. It’s used in our network partners complements to our financial messaging product and allows us to opportunity to acquire additional budget per brand. We continue to add brands and expect continued improvement in the fourth quarter. We don’t break out revenue by messaging solution, because of our size and the competitive nature of our business but I can say it’s starting to show true results. Our brand messaging products include brand awareness, reminder ads, clinical messaging, unbranded messaging that can be targeted by specialty diagnostic code or other criteria. This is truly the most precise way of marketing to the medical community today, which means great value for our clients and I see continued growth with the solution. As we can share the logic was to have more than one solution and increase our revenue program, which we are seeing and we will talk after the close of 2017. Now, I’m going to pass it over to Miriam. Stop talking for a little while. Miriam?
Miriam Paramore: Thank you, Will. Hi everyone. I’d like to share few observations with your based on my first 90 days. I’ll focus my comments around the development of our capabilities to serve the market broadly and to scale the business rapidly. First, let me talk about market need. I’ve been delighted to learn about the opportunity to name and claim space between pharma and the point of care. I not even call it the previously wasted space where are high value, real-time, digital communication can occur, but doesn’t today at least at scale. OptimizeRx was first to market with financial messaging, enabling this cost saving patient friendly solution as the first type of digital dialogue between pharma and healthcare providers. We’re just branching the surface here as Will mentioned earlier, but there is some much more. OptimizeRx connects pharma and healthcare providers or HCP digitally for any type of real-time communication. We added brand messaging this year and our next step the clinical messaging. Clinical messaging is highly valuable to those constituents delivering contexts relevant continent about medications at the time the patient is in the provider's office. The opportunities for communication continent are limitless. Having created the platform, we are now focused on layering on additional services better requested by our clients and partners. To that end, we are investing in our technology infrastructure to make sure it can handle high volume real-time messaging in a secured and HIPAA compliance way. We're investing in our product development and software engineering teams and using contemporary computing methodologies. We’re also listening closely to the market. We contained our first medical advisory board meeting in Chicago this quarter. Our physician advisors help us better understand their experience using EHR every day. They are looking for help particularly with drug price transparency and with prior authorization both solutions that we look to bring to market on the optimized RX platform. Their input helps us to keep current and helps us to play our role as a thought leader as we see to help the industry better understand and solve these complex issues. In line with this effort during the quarter, we help launched a new think tank, a female executive -- excuse me, if you're focused on digital information driven healthcare. That think tank underwritten by a company called [Adeffects] held its inguinal meeting at Nikko Resort in Southern California would not thankful to be there I can say. We discussed interoperability healthcare reform and turning technical innovation into good policy with that culminating in a passionate conversation about how we can help, manage each other and move the needle for women in our industry. Its events like this and the distributed health conference that we mentioned earlier that promote healthcare innovation. We plan to attend a number of other of this year. In fact I have a pleasure speaking that squeak at the EMS healthcare summit, a gathering of C-suite executives from across the industry. And Will is coordinating an innovation conference at Bayer's Global Headquarters. Finally, I will quickly share that we have also invested in operations personal and process improvement helping to drive higher margins and handle scale. Thank you Will.
William Febbo: Thank you, Miriam. Glad you're here. Let's see talking more about the channel, we're actively engaged in discussion with several EHR's to integrate our technology into their platform. Our teams are also working extensively with the existing platforms to expand the reach of our financial messaging as well as the brand messaging. We've seen considerable investment dollars entering EHR and eRx space over the last 18 months, which we believe will allow for better technology scale and utilization among our partners. We expect to see further improvements in future quarters as we implements new channels in our core financial messaging product and have lower revenue share percentages that we’re able to as we get more scale. And step with, as we expect the margin of our brand messaging product to increase, as we diversify across additional channels and increase the revenue. We expect to help advance us towards our goals of achieving gross margins 50% greater. For the reminder of the year we plan to remain extremely focused on engaging more brands, developing more solutions and increasing our reach to physician and patients. Given what we see has greater visibility into our expanding clients base, we believe we're on track for another record quarter ahead. Now with that, let's open up for calls and questions and then I will circle back and finish with some closing comments. Operator.
Operator: [Operator Instructions] We'll take our first question from Eric Martinuzzi with Lake Street Capital Makers. Please go ahead.
Eric Martinuzzi: I've got a couple of questions I want to focus first on the EHR and really into maybe forward looking thoughts. On the EHR side I know every sales, every -- the signup of each EHR is a little bit different, but what can you tell us about the sales cycle with iSalus as far as the length of time I guess from initial contact to actually getting them onboard the platform?
William Febbo: The EHRs yes it's a good question. The sales cycle can be as short as a month to get an MSA signed as long as four months to get an MSA signed. And then it's really going to come down to our partners, technology, list of products, right. There's a lot to do every day with these companies and we basically become a priority. The good news is we're a revenue generating partner for already EHR partners, so we tend to get some priority. And I think in the most recent cases, we're seeing a much faster integration. But all in it's a quarter to a quarter and a half, keep in mind these have to be tested on both their platform and ours, and then obviously we're pre-selling to clients to let them know that this channel is going to open. So, when it's ready to go we hit it pretty hard, but it's about a quarter to quarter and a half.
Eric Martinuzzi: And you talked a little bit about how that I don't know pipeline is the right word, but it sounds like you're talking to more -- do you feel like the brand, the OptimizeRx brand is getting out into the market? And I know it's probably still got to be still but there's at least you're known quantity when you're knocking on those doors?
William Febbo: Absolutely, yes, we've I think done a really good job over the last year, building a lot of credibility in the space and being very transparent on technology currently, and but also frankly doing what we say and bringing revenue from the industry to our channel partners. So yes I'd say our reputational brand value is much higher.
Eric Martinuzzi: And then taking a look at the model, I know you didn't give specific outlook for Q4, other than you expect to grow. What's normal seasonality for your business I realize that's kind of a loaded question given how much new account work you have with on-boarding of EHRs and expensing from financial messaging to branded messaging, but maybe more specific way to ask you is, what's Q4 look like in comparison to the 3.1 million you just posted?
William Febbo: So just speaking very high level, Q4 is almost always our largest quarter for the year and that tracks to how manage -- money is managed within our client base. So we expect Q4 not be out of whack from the seasonal approach. Obviously, we don't talk to percentages or growth or any of that, but as we've said I think we're really on track to a strong quarter.
Eric Martinuzzi: And then I've heard you say in prior calls that you expect breakeven at about a 13 million plus run rate is that still the case?
William Febbo: We -- I would say it's 13 to 14.5. We're going to -- Miriam mentioned a couple of products, but we really think a key for this platform right now is getting additional solutions on top of it and those is not turn on, you’ve got to spend a little get to. So we’re pretty focused on making sure our investment dollars are incredibly focus on this connectivity between industry and physicians and distributed through the EHR. But I would increase our breakeven to probably 14.5 of 13.
Eric Martinuzzi: Okay. Thanks for taking the questions. Congrats again on the quarter, I don’t have a lot of companies in my coverage universe that grew 74% this quarter.
William Febbo: We’re glad to be in that club.
Operator: [Operator Instructions] We will go next to John Ziegelman with Wolverine Asset Management. Please go ahead.
John Ziegelman: As you guys know and some of the market may know. We have filed a 13D and have suggested that if you could scale as you anticipated you would, which I believe you’ve now done that a process to analyze what your strategic alternatives are would be a good idea. And to be clear what Wolverine thinks strategic alternatives don’t -- isn’t just one outcome, it’s not just sale. In fact more often is strategic in nature with the strategic partner. Merger of some sort and many times go alone because we’re now at scale strategy. All of that I’ve said, my simple question is. Can you guys update us on the process? And what you’re thinking now that you enter the zone of scale? And whatever you could share with the mark would be appreciate it?
William Febbo: So we’re 100% focused on execution in growth and really trying to without any distraction I think that’s important for the investors to hear. However, to your point its part of our responsibilities all the stakeholders and shareholders to constantly assess in all the avenues that could go at alone, acquisition strategies, M&A. We spoke about the activity in our space in the past with recent M&A and very large investments and particularly in the point of care space. And then management team and board were constantly reviewing our options while executing our growth plan, which as you know is key to the longer term story. So I’m pretty confident, we’ve got the board and the management team to maintain that balance between or absolute focus on us and strategic considerations. And on a monthly basis have several conversations in and around strategy that is not focus in any one area, but really have enhance the shareholder value. Next question?
Operator: We’ll take our next question from Ron Chez, a Private Investor. Please go ahead.
Ron Chez: I have three questions although you did touch on one with Eric. Am I just discussed your thoughts about the relationship you've touched on breakeven between continued investments spending and building the infrastructure and profitability unless you feel like you’ve cover that adequately with Eric?
William Febbo: No. I think, I could add a little bit it Ron. The reason why I'm so excited about this business right now is I feel like we got this foundation, which has a really nice connective between industry and physicians. And so we got financial messaging, growing nicely our core product, we got brand messaging which we started in Q1 and we will continue to grow that in an accelerate way. And so now truly up that to put on other solutions and the cost to putting those on is much less the first, right because we have the momentum. So I see putting more solutions, more access and with the sales team we have a lot of confidence we will see a lot more growth in the pharma side. So as we said we up it a little bit because we're getting frankly, getting our hands around the business even more. So just of the true number and I think its if we don’t we got our major executive team in place and so about executing more contents really through the network.
Unidentified Analyst: You touched on additional solutions. Does that mean in terms of leveraging what you're doing right now additional sources of revenue besides the two that you discussed?
William Febbo: Absolutely, we would expect to have at least one more additional revenue solution that we can talk about in Q1 and obviously we talked about prior authorization, last year and we will talk about as the year unfold in '18, but yes that is the idea around.
Unidentified Analyst: You're looking for to say, any place where you can establish refining revenue, a favorite of mine recurring revenue?
William Febbo: It is a wonderful phrase, we actually do think there is an opportunity here, we're working pretty hard, we think it's going to be a data driven solution and again connected directly to our core products, so we're not going off campus at all, we’re really looking at our, how we can deliver more or clients in a way that they may be willing because its subscribe to, so yes that is on the horizon but nothing definitive yet.
Unidentified Analyst: So to that point, which connects between what I just asked, what kinds of programs do you have or given this very large market, very large opportunity and where you are with another big company right now. What do you see as the best opportunities or further penetration, more doctors, more budgets, better relationships with agencies? What do you see is the way the enhance penetration?
William Febbo: I think the investments we made are in three areas it's definitely more pharmaceutical clients and brands which are where our team focused exclusively on that and that kind of agencies as well. There is the technology, so really streamlining that adding some data which ultimately could deal in the recurring revenue. And then channel which is a very big reason Miriam is on the team with her background and experience and the business development the team we have there. So we got the pressure is on us, we need to do all three, if we do all three then we got a really, really wonderful story here, if we do two other three, we still have a great story, so we’re focused on all of them, Ron.
Unidentified Analyst: You're focused on patient benefits. You touched on that patient benefits are terribly important here.
William Febbo: There are. It’s a good point. We did talk about a little bit in the initial call. The thing that really gets a lot of our team excited is where providing financial systems to patients through the physician. And adherent to the big problem in the industry, if you don't take certain meds you've chronic issues and you're in the hospital, it's really a spiraling bad situation. So, we feel like we're helping the patients tremendously and we're looking always at ways to enhance that. So yes thanks for asking.
Unidentified Analyst: Just as the last comment, you're paying attention to the opportunity when it is correct to uplift?
William Febbo: When you start to do pretty well, the industry that likes to bring companies uplift become a calling, so we've got a really good group to talk to and we will assess that when it's appropriate yes.
Operator: We'll go back to John Ziegelman with Wolverine Asset Management. Please go ahead.
John Ziegelman: The follow-up to my question is. I want to try and put a bit of a frame around how you process the information that you just described you're going to look at and of course this is just Wolverine's estimates and nobody else's and you're not saying the right or wrong, but given your current quarter and given what we expect for the next quarter we see you at almost $12 million of trailing revenue, at the end of Q4. We had in our letter -- public letter said 10 million to 12 million so you're really killing it in terms of operations. And we've now upped given the quarter's results we've upped next year's estimates and not anywhere close to the 74%. So I think we're being conservative and a long story short taking the sales transactions that you've cited in the past that we've cited, the recent analyst report and our own updating of market multiples. We think today right now that you're worst between $2.50 and $3 a share. So very longwinded way to say from our perspective we think whatever the strategic of process decides that's the marker you have to meet or be. Does that make sense? Do you understand what I'm trying to say?
William Febbo: I do and obviously I can't endorse any of the numbers, but in terms of looking at market comps and multiples and certainly now the first nine months of '17. I think as investors it's healthy to look at that range, as market speaks for itself and certainly as you said it really allows us to look at multiple strategic opportunities because I've got the team in place to build a very large business, if it comes to that. So we're looking at everything and I'm very encouraged John that we met about a year and a half ago, I think we've come a long way and we'll keep performing.
John Ziegelman: You've definitely have come a long way, you've under -- over delivered and under promised and the promises -- I should say you've over delivered and promised well, not under promised. You've assembled your team, you've got the pluming, you've got the first mover advantage, you're proving out now that you're either already at scale or nearly at scale, so I think given some of the transactions that have taken place you're in the driver seat and that doesn't mean you're selling. It means you can negotiate a better deal with a strategic or something like that. And to the Ron's point an uplifting will help with liquidity which will help with people being interested in the stock. So thank you, keep it up and we’ll be around.
Operator: We will go back to Ron Chez, a Private Investor. Please go ahead.
Ron Chez: I just want to ask John, if he's a buyer or seller right now. Just kidding John, we’ll talk later. And one other question not about up list, I’m sorry. I’m looking at my notes right now. On penetration and when it comes to penetration is in the HCP part of this the biggest opportunity or is it budgets the biggest opportunity?
William Febbo: Yes, well, you can't get the budgets without the HCP. So, they’re really connected and we’ve got enough now, but grow nicely as everyone saying. But as we get more access, it should easier to get more budget once your bigger company with pharma. So we anticipate being able to go after bigger dollars. As I think, I excited, we expect multiple million plus clients versus one or two that we seeing this year. So we’re excited about that.
Ron Chez: One more comment I encouraged that you focus on leading the business you’ve got the infrastructure there. You've built the business and satisfied patients and doctors and the rest of the stuff takes care of itself in terms of strategic alternative better stock price the opportunity for acquisitions or whatever you just got to build the business?
William Febbo: I agree.
Operator: We’ll take our next question from David Harrell with OptimizeRx. Please go ahead.
David Harrell: Will, congratulations, it’s exciting to hear and getting that milestone of 100 brands is a fantastic job. Congratulations to you and the team. One thing I wanted to share is that the good news is there are 700 other brands that we haven’t at this point really secured in. Considering you have that mass scale and proven ROI across really every time pharmaceutical product whether it’s diabetes, cardiovascular, asthma. Not that you reach that scale, industry scale in recognition. And you have the ROI to back you up. Do you see bigger chunks of products not looking at this is an innovative marketing tactic but a must have market tactic? And again the opportunity on the product side is sevenfold to where we are. And I think the EHR is at least five to sevenfold as well. So, can you comment on your key clinical success factors not but you have that scale to go after the rest of the market?
William Febbo: Sure David. So I think, yes, they are 800 in the market, they’re probably about 400 in relevant to us. But we’ve gone away a little bit from brand count because you gave one brand during 4 million and one brand during 30,000. So what we’re really looking at our key accounts, account that have a long tail exclusivity with patent protection were looking at the higher volume. We also have a specialty drug, approach, which is sort of lower volume, higher price certainly more need for co-pay. What I can say is I really think, we’ve got the sales team in place and the client relationships to get a lot more attraction in the market. So more brand, more brand dollars, more shared of the brand dollars. And I think that we have multiple products for solutions between brand and financial, clinical messaging, we're just becoming more relevant to the client. And so as you know, the data you've been added, they take you more seriously the more you spend, they spend with you. So I think we got the team to support the growth and we can certainly start to see better scale, yes.
Operator: We will go back to John Ziegelman with Wolverine Asset Management. Please go ahead.
John Ziegelman: Hi, its kind jokingly, I was going to answer Ron, but by compliance guide just jumped on me. So I'm -- I'll just stay quiet and say I think it's worth over 250, so if you guess what I'm doing.
William Febbo: I love it. I think I am going to fall. This is good. It's getting done now. Alright, thanks John.
Operator: At this time, this concludes our question-and-answer-session. I would now like to turn the call back over to Mr Febbo. Sir, please go ahead.
William Febbo: Thanks. I just want to finish up with a quick comment on why someone should believe what John believes and many others on the phone. Firstly, you got tectonic shifts in technology enabled communication tools between industry and medical professionals. Investment in the space is happening at all levels. We've got from startups to largest companies in the country are investing in our space. Our solution is embedded into the workflows position with transparency, compliance, accuracy and the strong ROI, which are all requirement today. Our core solution benefits patients with financial assistance and improves adherence and thus outcomes, so we're relevant. And really the most personal part of that is we have a team to execute on this vision. Our team is the best in the industry and we work really hard for everybody all the stakeholders, I'm very proud of that. So with that, we look forward to talking you in the future and you know you can always reach out and give me a call anytime. Thanks everyone. Operator.